Operator: Thank you for attending Wajax Corporation's 2019 Second Quarter Results Webcast. On today's webcast, will be Mark Foote, Wajax’s President and Chief Executive Officer; Mr. Stuart Auld, Senior Vice President, Finance and Chief Financial Officer; and Mr. Trevor Carson, VP, Financial Planning and Risk Management. Please be advised that this webcast is being recorded. Please note this webcast contains forward-looking statements. Actual future results may differ from expected results. I will now turn the call over to Trevor Carson.
Trevor Carson: Thank you, operator. Good morning, everyone, and thank you for participating in our second quarter results call. This morning, we will be following a webcast, which includes a summary presentation of Wajax's Q2 2019 financial results. The presentation can be found on our website under Investor Relations, Events & Presentations. To begin, I would like to draw your attention to our cautionary statement regarding forward-looking information on slide two. Additionally, non-GAAP and additional GAAP measures are summarized on slides 13 through 23 for your reference. At this point, please turn to slide tree, and I’ll turn the call over to Mark.
Mark Foote: Thank you, Trevor. I'll provide highlights on our second quarter before turning it over to Stuart for comments on earnings backlog inventory and the balance sheet. We are pleased with revenue growth of 7% in the second quarter, which included very strong performance in Eastern Canada that helped to offset expected reductions in Ontario. The sales trend in Western Canada improved modestly in Q2, and I'll provide further comments on our regional revenue trends in just a moment. Market conditions improved nationally in heavy equipment, from our experience in the first quarter, comparable revenue in Q2, which excludes the contribution from our acquisition of Delom increased 2% from prior year against the tough comparable of 27% up in the second quarter of last year. EBITDA improved 19% in the second quarter, gross margin rate was 19.1%, which was 70 basis points higher than prior year. On a year-over-year basis margin rates on equipment sales were stronger, and product support margin rates were comparable. Cost productivity in the second quarter was 13.9% of sales, which was in line with our expectations, given higher personnel costs in major projects underway. Adjusted basic EPS of $0.63 was flat year-over-year. The EPS results was affected by higher financing costs due to higher debt level, due to the acquisition of Delom and increase working capital and also due to the effect of IFRS 16. I still have further commentary in just a moment. Finally, safety performance was excellent in the second quarter, as indicated by a tariff rate of 0.29, best quarterly safety result we have ever recorded. We thank our managers and team members for their efforts in workplace safety and for the exemplary improvements that they’ve worked so hard to deliver. Turning to slide four. Regional performance in the second quarter was varied. Central Canada sales were down 11% year-over-year. The reduction is due to changes in our construction equipment lineup, and specifically to the loss of a road building line, the sales of which were not offset by growth in other categories. The effect in Central is expected to be less significant year-over-year as enter the second half as approximately 70% of last year’s sales occurred year-to-date June. Excluding the road building issue, sales in Central Canada were up 3% on a year-to-date basis. Eastern Canada sales were up 23% achieving a very positive trend. Delom contributed to a robust Eastern Canada business, ERS volume was complemented by excellent year-over-year performance in construction, material handling, power generation and engines and transmissions.  Western Canada sales were up 4% despite ongoing challenging market conditions. Strong increases in mining and forestry offset weakness in construction and power gen. Our mining business nationally continues to strengthen, but particularly so in Western Canada, with the addition of a large shovel added backlog for a major oil sands customer and various additional bids are currently in process. Turning to slide five, revenue by type of sales is shown. Equipment sales in the quarter were essentially flat. We saw strength in construction, material handling and Hitachi branded construction equipment, which was up 14% nationally. These improvements were partially offset by the earlier road building equipment commentary, and lower mining equipment and power generation sales in the quarter. Industrial parts sales were essentially flat, strength in Eastern Canada offset some weakness in the West and Central Canada sales were comparable year-over-year. And product support sales increased approximately 4% year-over-year, based on strengthened mining and Off-Highway engines transmission sales in Western Canada. Delivered margins from product support improved slightly year-over-year based on improve parts margins. Turning to slide six, I'll provide some additional commentary on the market conditions affecting certain categories in the second quarter and year-to-date. To avoid repetition, I won't go over earlier comments, but you can certainly feel free to ask us questions with any of our businesses later in the call. In construction, national market conditions improved sequentially in Q2. Using the construction class excavator market as a proxy for overall conditions, Q1’s national market was down 29%, which improved to a flat market nationally in the second quarter. While year-to-date the market remains down 11% there are signs of strengthening conditions in Central and Eastern Canada and coating activity has improved in the West. Wajax’s market share in excavators was flat year-to-date and our wheel loader market share improved; construction equipment margins are comparable on a year-over-year basis. In forestry we were pleased with the strong results despite national market units being down 22% year-to-date. Recent changes in our equipment lineup have helped us improve focus, results and market share in forestry. We expect weakness in the BC forestry market to be offset by opportunities in Alberta and in Ontario. Forestry backlog increased significantly in the second quarter both sequentially and year-over-year.  Finally, we remain bullish on our mining related businesses including mining equipment, industrial parts and engineered repaired services sales to mining customers. This perspective relates to our oil sands and conventional service line end customers. New equipment backlog has increased again and Q2 and coating activity is strong. Wajax continues to invest in additional resources and inventory to support demand in our mining business.  I'll now turn the call over to Steve. 
Stuart Auld: Thanks, Mark. Please turn to slide seven for my comments on earnings. In the second quarter of 2019 adjusted basic EPS was flat, coming in at $0.63 consistent with the same period in the prior year. Previously recorded adjusted basic EPS for the second quarter of 2018 was $0.67. However, is disclosed in the corporation's audited consolidated financial statements for the year ended December 31, 2018 our correction of non-material errors in prior periods was recorded impacting prior year comparative periods. Further details on these corrections can be found in our MD&A under Adjustments to Prior Period Comparative Financial Statements. Higher net earnings were offset by higher average shares outstanding contributing to the flat adjusted EPS. The earnings increase relates primarily to higher revenue, gross profit margins and the inclusion of Delom. These increases were fully offset by higher financing costs. Overall, SG&A as a percentage of revenue increased 40 basis points to 13.9% from 13.5% in the prior year remains below our targeted range of 14.5% to 15.5%. The increase is primarily related to higher personnel costs to support our 2019 business plan and ongoing investments in our infrastructure related to the new ERP system and customer support centers. On a year-to-date basis, adjusted basic EPS decreased to $1.07 from $1.12 from the same period in the prior year, representing a 4% decrease. The decrease relates primarily to higher finance and SG&A expenses that were not fully offset by revenue and gross profit margin improvements. SG&A as a percentage of revenue increased 60 basis points to 14.5% from 13.9% in the prior year. As we've stated previously, we expect the earnings improvement will be weighted to the second half of the year, as the cost base becomes more comparable on a year-over-year basis. Please turn to slide eight, which summarizes our backlog and historical trending. Our Q2 2019 backlog increased $39.6 million or 15% on a year-over-year basis, and increased $41.2 million or 16% sequentially from the previous quarter. $296.5 million represents the highest backlog we have reported since our peak earnings year of 2012 and is supportive of achieving our plans for both 2019 and 2020.  The year-over-year sequential increase relates to higher mining and forestry equipment orders. The additional mining equipment orders booked backlog in the second quarter relate to deliveries scheduled for 2020 and 2021. Subsequent to the quarter, an additional mining shovel with added backlog in July and coating activity remains strong providing good visibility for the next two years. We remain encouraged by the strength of our sales pipeline in other equipment categories. Please turn the slide nine for an update on our current inventory levels. Inventory including consignment increased $128.5 million compared to Q2 2018 or $30.5 million compared to Q1 2019 is primarily higher across our targeted growth categories. Consignment inventory increased $6.5 million for Q1 and consists primarily of construction excavators order to meet our 2019 sales plans.  Based on our current sales plans, and pipeline, we do foresee -- we do not foresee any material risks and are confident in the quality of our inventory. Equipment lead times are beginning to improve providing further flexibility in how we approach our orders and stock levels for 2020. We continue to expect the inventory levels will decrease over of the second half of the year, which we anticipate will have a net positive impact on working capital, cash flow and leverage. Please turn to Slide 10 where I will provide an update on our financial position and performance metrics. Our Q2 leverage ratio decreased compared to Q1 from 2.89 times to 2.71 times, primarily is a function of lower debt levels associated with lower working capital and higher trailing 12 month EBITDA. We are pleased to note that $20.5 million of cash was generated from operating activities in the quarter compared to $11.1 million used in the prior year. We are continuing to focus on working capital efficiency, which is a key component in managing our overall leverage targets and we expect the ratio to improve further over the balance of the year. Our investment in inventory has increased our working capital sales ratio on a trailing 12 month basis. But as I mentioned earlier, we expect the ratio to decline in concert with inventory levels in the second half of the year. As our financial performance continues to improve, we're seeing higher trailing 12 month adjusted EBIT, which increased $4.3 million or 7% compared to the previous year. But that hasn't translated into high RONA as our net assets have also increased by $120 million over the same period. Our strategic plan calls for investment above historical levels to meet sales plans and higher net assets. However, we are committed to increasing RONA over both the short and long-term as we continue to focus on enhancing our EBIT margins and drawing down our working capital levels. Finally, the Board has approved our third quarter dividend of $0.25 per share payable on October 2, 2019 to shareholders of record on September 16, 2019. We remain confident in the sustainability of our dividend at this level and across the business cycle. Please turn to Slide 11. And at this point, I'll hand the call back to Mark to provide a brief update on our 2019 financial outlook and his concluding remarks.
Mark Foote: So looking at slide 11, I won't read the entire page it's unchanged from prior quarters. I'll just call out two important points with respect to that. We expect 2019 full year adjusted net earnings to increase over 2018 based on consolidated revenue improvements and the full year effect Delom. And concluding our current view of the timing of revenue and cost suggested those earnings improvements will be weighted to the second half of the year. At this point, we'll open the call up for questions.
Operator: [Operator Instructions] Your first question comes from Michael Doumet with Scotiabank. Your line is open.
Michael Doumet: Hey. Good afternoon, guys.
Mark Foote: Hi, Michael.
Michael Doumet: Hey. So I just want to drill down on your expectation for a better earning set up for the second half. In your outlook, you discuss the timing as it relates to revenue and costs. So is there anything in your line of sight that provide a decent bumped revenues in the second half? And also can you quantify some of the costs either not expected to be repeated or general cost efficiencies in the second half?
Mark Foote: Probably the more notable revenue things are, more in the fourth quarter than third, but we're expecting a reasonably strong finish to forestry. And we've got -- we're expecting some mining shovels to deliver in the fourth quarter, which is -- the timing of which appears to be reasonably secure right now. So those are on the revenue side, and we've got some -- I think, some decent comp growth. We don't have the same issues in Central Canada in the second half of the year because we're comping off a much lower number for construction equipment in Ontario. So we feel reasonably good about the revenue performance. On the cost side of things, two things to keep in mind. One is in the first half of this year roughly speaking call it between $3 million and $4 million was spent on the projects that we've talked about from an SG&A standpoint. Some of that normalized though, but it's in the total SG&A base.  And that'll be reduced in the second half of the year primarily because of the customer support center costs are lower in the second half of the year than they were in the first. And the increase in personnel costs in the first half of this year relative to the last year were more significant than they're expected to be in the second half.
Michael Doumet: Any efficiencies as it relates to the ERP or CSC?
Mark Foote: No. The ERP is going to stay in pilot mode until we're completely comfortable with it. So it's not really a productivity factor at all this year it will be in the future, but it isn't this year. And the CSC the answer inside the company, yes, a bit. We've actually shifted resources to avoid investing in incremental folks in the company. So we shifted resources into the CSC, but I think the more notable productivity improvements are probably more in the 2020 range.
Michael Doumet: Okay, thank you. And then I'm not sure if I caught you -- or if caught the correct wording around this. But you indicated the coating activity around mining provides good visibility for the next two years could you just elaborate on that?
Mark Foote: Sure, well, the backlog has got some good volume in it, that goes 2020 -- a bit of it’s this year, obviously, but 2020 and 2021. And the coating activity is pretty strong right now. And assuming some degree of success with that that presents some additional volume, which is probably more related to 2021, but it's got us feeling reasonably good about the mining business this year, next year and the year after that. 
Michael Doumet: Okay, that's all oil sands?
Mark Foote: No, it's not actually, it’s partially oil sands, and there's some additional activity in British Columbia, there's some additional activity in Northern Ontario.
Michael Doumet: Okay. And maybe just thinking longer term, year mark, I mean, if we go back here, I think most of us would have expected continued strong revenue growth through 2019 and potentially into 2020. So obviously, the markets have slowed somewhat, particularly in construction in the first half.  Meanwhile, I believe EBITDA margin expansion, sort of beyond the midpoint of the range in the long-term outlook, it was predicated on operating leverage. So, I guess the question is in a slower growth environment, what are the major leavers in your mind to expanding margins further, or expanding RONA further?
Mark Foote: It is probably a couple of things. The first is, the margin rates -- the gross margin rates, the way they look right now are probably a good proxy for the year. But a lot of work going on in the company right now that stands to help us improve the margin rate going forward, which should offset any degree of kind of organic revenue growth, that may be tougher if the market becomes a bit more challenging. So, there's some gross margin opportunities, which don't necessarily affect our market your expectations. And the mix of businesses is something that we're looking at pretty carefully right now. There's some, obviously, higher margin businesses that may warrant a bit more investment at the expense of some of the other. So it's both a an absolute rate increase as a result of some pricing cost and efficiency changes and some of the margins we lose below the line related to warranty and things like that. And there's also mix of business changes because obviously some of the heavier service oriented businesses like ERS, as an example, just carry higher margins and the mix with the would be accretive to the rate. So, I don't know if we're -- the matter of fact that I know we're not necessarily changing our revenue expectations overall. But we do see some degree of latitude in the gross margin, which hopefully will offset any revenue risk and perhaps will be accretive looking for.
Michael Doumet: Okay, great quarter. Thanks for taking the questions.
Operator: Your next question comes from Michael Tupholme with TD securities. Your line is open.
Michael Tupholme: Thanks, good afternoon. Mark, can you talk about what the other/ERS revenue would have been up on a year-over-year basis excluding Delom this quarter? And also if possible comment on what the organic growth within the Delom business has been since you acquired the company?
Mark Foote: I'm sorry, I don't have those numbers exactly handy, Michael. So if we can get back to you with that I would appreciate it. The Delom business is growing at a reasonably good clip. The guys have some very good activity going right now I don't have the exact number for you right now -- I don't have those exact numbers, but I think the ERS number was up probably on an organic basis about 10 points on a revenue basis. So our own business base was up probably about 10 points I think that's year-to-date. And the Delom business has a lot of project work in it. So looking at the revenue from one month to the next is a bit lumpy because there is a lot of work in process but that business is moving along momentum wise at a pretty good clip right now.
Michael Tupholme: Okay. And is it fair to say that the momentum you're seeing there is not yet reflective of any of the synergy opportunities you would hope to be able to realize from that acquisition? 
Mark Foote: Yes. 
Michael Tupholme: And when would you think those would start to possibly contribute?
Mark Foote: I think the offer is on the ground I would say they’ve started to contribute a bit right now, I would say that's probably something a more material thing is probably into next year, there's a bunch of integration activities that are underway in the second half of this year, which brings the sales teams a little bit closer together, Delom doesn't have much, well really doesn't have any revenue base in Western Canada. So the teams have been at West meeting with a number of our oil sands teams, and our teams have been into Eastern Canada see the facilities and understand the capabilities. But I'd say that from a perspective of somebody like yourself, I don't know if I'd look for a ton until 2020, and we remain really, really bullish on our initial experience with our new colleagues at Delom.
Michael Tupholme: Okay, great. Question about the gross margins, up year-over-year, but off about 40 basis points sequentially. I go back to the Q1 conference call, there was a suggestion that the gross margin we saw in the first quarter might be a decent proxy for what to look for, for the full year. So just wondering, are we in a situation here where we should expect gross margins to step back up and reflect the commentary made in Q1? Or is it more likely that we see something along the lines what we saw in the first quarter over the remainder of the year?
Mark Foote: Yes, I mean, margins are going to bounce a little bit, Michael. So they're going to 30 or 50 basis points one quarter to the next is not really unusual for us. I'd say if you stick around the 2019 range, you're probably reasonably close. The margins in the second quarter we saw some reasonably good new equipment margins, which related to material handling, forestry and our engines and transmissions business. And we saw some on a year-over-year basis strength in the parts margins. So where we took a bit of a hit in margin in the second quarter was our labor margins were lower, part of that is just the fact that we've been adding technicians, and so the productivity puts that margin a bit over the short term. But sitting around the 2019 range is probably a pretty good way to think about it.
Michael Tupholme: Okay. And then looking at Western Canada, it seem to me at the start of the year that you were maybe a little bit cautious on the demand outlook for Western Canada as a whole. You did 4% revenue growth year-over-year in the second quarter. Is that coming in a little stronger than you expected, or is that -- did I sort of misinterpret the idea that there was maybe some caution around Western Canada?
Mark Foote: It's a category by category answer. I guess if you ask the question is that -- are the market conditions a bit better now than there were three or four months ago? So answer that as, yes. I don't know if we’ve seen anything specific that would suggest that they would decelerate. But if you look inside the categories there, they're up and down in a -- for a bunch of different reasons. So, our forestry business is expected to be a bit of a challenge just because of the circumstances in BC in the second half of the year, we've got some excellent opportunities from a mining and equipment standpoint in the second half of the year, so that more than offsets that, construction definitely got better in the second quarter. At least the trend was less negative from an excavator standpoint. In our short cycle businesses, like industrial parts, they're okay, but they're not comping as nearly strong as they are in the rest of the country. So it's a bit of a mixed bag, but on balance, it's a bit better because I think that we would have expected in the first quarter and we don't see any kind of consolidated change in trend, although the categories will go up and down a bit like I said.
Michael Tupholme: Okay. And then just a clarification, where is it that the mark to market derivative impact shows up on the income statement, what line item is that actually in?
Mark Foote: It's in SG&A. 
Michael Tupholme: Okay, great. Thank you. 
Operator: Your next question is from Derek Spronck with RBC Capital Markets. Your line is open.
Derek Spronck: Okay, thank you for taking my questions. How long will the trial phase be on the ERP system and what are the initial feedback from the branch has been so far, around the trial process?
Stuart Auld: Sure, so we launched it over long weekend in July. We're just in the process we did two branches, a former power branch and a former equipment branch. We're just in the process of finishing kind of the first month end on the system. I'm going to say the first 30 days has gone as expected. We trained all the staff, we were on the ground with a trained group of people for probably three weeks. We're still in the process of making tweaks to the system and we'll continue to do that over the next probably several months.  But I'd say it's been very positive with the team. At both the branches they've dug in, they've been pretty excited about it. And the interesting thing that we've done is we've trained about 75 super users, which are folks that are in the next branches that we're going to. So we got about a one super user for every branch that's already trained up. So it's pretty positive I'd say. And, just from perspective of change, we've been through a number of changes with a whole bunch of our staff, whether it's having put a payroll system in, a CRM system and being sales force, and also going from four ERP systems to two. The staff is pretty excited about the change that we've gone through. And we've done the normal things around change management of our communication and training, and it's worked out pretty well.
Mark Foote: Just add some to Stuart’s comments the likelihood of us having more than another handful of branches before the end of this year is pretty low. Because we're taking a pretty cautious approach to this until it's locked down and we feel comfortable. There more significant role out is appropriate.
Derek Spronck: Okay, great. And what does the system specifically do? And is there any way to quantify the benefit?
Stuart Auld: What does all of our -- it does -- arguably all of our financial transactions, which would be part sales, equipment sales, rentals. So the -- and then obviously, the back end does all your journal entries, your accruals and all that. So it's a full blown system, but it's really based off on equipment and rental business system. And while I wouldn’t be able to sort to state all the benefits. I'll give you at least one simple example. So today in one of our Winnipeg branches, we have two of our businesses, an industrial components business, and the power business. So you'd have two systems in that business. And you basically have two separate receiving departments. When the system is done, you have one system with one way of receiving one way of looking at inventory. So there's natural savings and efficiencies not only internally, but through our vendors for putting the system in. But that's more of a -- by the time we're finished the rollout, you'll start to see the benefits.
Derek Spronck: Okay, no that's great. And is it -- are you going to be running like a redundant system behind it as before, when you do turn it on or once you do switch it on.
Stuart Auld: What we've done in terms of the two branches is the two branches, parts of the business, that when we close the books receivables and payables stay on the old system. And we wind transactions down through that system. We just -- we bring fixed assets and inventory on to the new system. So it actually makes an easier transition, and doesn't really necessitate us having to run a backup system. We also close out for the most part, all of the work orders, the counter orders the purchase orders. So it makes it a much simpler implementation with no real need to do a backup system.
Derek Spronck: Okay, got it. And then just one last one for myself before I turn it over. Once you kind of get through the ERP system and some of your other costs reduction initiatives. And assuming a consistent and market environment that's similar to what it is today. What do you think is a normalized run rate EBIT margin you could run at on a sustainable basis?
Mark Foote: You’re probably talking in the 6 to 7 range. 
Derek Spronck: Yes, okay. Okay, great.
Mark Foote: We focused a lot more on the EBITDA margins, which is what’s in the public commentary. But if you kind of had to back off of that depreciation standpoint 6 to 7 is probably not that far out.
Derek Spronck: Okay. Thanks, guys.
Operator: Your next question is from Devin Dodge with BMO Capital Markets. Your line is open. 
Devin Dodge: Thanks. Good afternoon, guys. So just want to get your thoughts on the competitive environment for excavators? I know Wajax is looking to gain some market share there. I think what we've seen it seem like has come through in Q2, availability from other OEMs has improved, I think we've been [indiscernible]was talking about they were gaining market share in construction equipment is broadly speaking, just have you seen any kind of change in competitive behavior in the markets?
Mark Foote: The inventory in the system is pretty high. So, I think that's a bit of a bit of a difference over prior year and we can only speak to our share, obviously. So, I think year-to-date we're roughly flat where we were last year, we took market share hits in Ontario. So our market share was actually down in Ontario. But it was fairly strong in Eastern Canada and held in there a little bit better in the West. So our issues right now are in Central and that's not a function of product or inventory. That's just a function of our sales effectiveness, which we will continue to work on.
Devin Dodge: Okay. No, the excavators are usually a pretty competitive marketplace in the best of times, have you seen any kind of pricing pressure for that product line up?
Mark Foote: Not anything material our new equipment margins in construction are essentially the same as it were in the second quarter of last year. 
Devin Dodge: So maybe just coming back to inventories, I mean, they were up in Q2, I get that this is the support growth and in certain categories. But equipment sales were roughly flat year-over-year, it feels like construction demand, at least in some markets is a bit sluggish. I guess how are inventory levels tracking to maybe the initial plan that you had at the beginning of the year. And can you talk about or talk to the average age of consignment inventory in relation to that nine month payment free period?
Mark Foote: Yes, I'll speak about to the first part and then I’ll Stuart, Trevor to help me with the second part. We had expected our plan was based on inventory being higher in the second quarter. So it's really not that far off what our original expectations were. And we're continuing to feel reasonably comfortable with the inventory levels we have given sales plans we have for the second half of the year. So on the consignment basis, I think the short answer is probably that we've actually done a fairly good job of not allowing bunch of the consignment inventory to age out that would have caused some payments. And we've been pretty successful with that. So at the moment, we don't have any specific concerns on the age of consignment, the average age of the consignment inventory. 
Devin Dodge: Okay, that's helpful. Maybe just switching gears to mining, Q2 another strong quarter for bookings. Just can you give us a sense of these replacement of existing Hitachi equipment? Or are they incremental to your installed base?
Mark Foote: They're virtually all incremental.
Devin Dodge: Okay. And for the mining equipment, do you typically have to put some deposits down with the OEM or are there other financing arrangements available? 
Mark Foote: No, we don't -- we commit to the order, but we don't part with any cash until pretty close when the customer pays us. 
Devin Dodge: Okay. And then maybe just one last one, but is probably for Stuart in the notes to the financial statements there was mention of a program where Wajax sell some of its account receivables. Can you provide some color on these arrangements? And it appears that at least from the figures that that we've seen that Wajax has been increasing its usages of the program. Are we looking at this the right way? And if so, how should we be thinking about the AR program over the next 6 to 12 months?
Trevor Carson: Hey, Dodge, this is Trevor. So we do have two programs in place now are able to sell receivables were clear. So it only applies to a handful of our largest customers. So essentially, it's the facility that's provided to cycle through and increase our cash collection and reduce our DSO. So that's something we've been using for the last few quarters really and means to be a bit more efficient with our working capital and draw down our AR, that is something that you can continue to expect to see us using going forward.
Devin Dodge: Okay, makes sense. Thanks guys.
Operator: [Operator Instructions] Your next question comes from Ben Cherniavsky with Raymond James. Your line is open.
Ben Cherniavsky: Hi, guys. I’d just asked maybe an open ended question for Stuart just as relatively new to the role. I'm curious on what your -- what priority you've got, what opportunities you see at Wajax? Your overall impression of the company and financial situation, what you -- sort of articulate what you're -- what you think you can add here in the role?
Stuart Auld: Well, why don't I start with -- there's obviously multiplicity of things going on in the business. Certainly the initial 90 days that I've been in the role, the first couple of things that have gone on are just finishing up the finance consolidation. So we've now got a consolidate finance group in one place, which is incredibly positive. We've also then put the pilot in place for the ERP. So that's been a long standing piece of work that I've been involved in, and that will carry us out for probably the next 18 months. So two large projects that one that we started and one that we completed that will have a lot of, I think positive impact on the business going forward. I think as we -- I've been here for five years. So I've seen us go through a tremendous amount of change. And I expect that we’ll continue to see significant change as we go forward. I think we're certainly, I believe my role is to not only finish the ERP and continue and improve our systems, which obviously help the business. But obviously, the focus for me is supporting Mark in the business leads to continue to hit our strategic plan targets, whether it's through inventory management, through sales programs, through implementation and support of the CSC. Obviously, working with Trevor in continuing to improve our financing opportunities. As he just said, with a number of programs that we've just put in place. And I'm pretty positive about what we've achieved since I've been here in 2014. And what I expect we can achieve over the next couple of years.
Ben Cherniavsky: Okay, that's helpful. Thank you.
Operator: And this does conclude the Q&A period. I'll now turn it back to Mark Foote for any closing remarks.
Mark Foote : Okay. Well, thanks very much for joining us today. We look forward to speaking with you again in the third quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.